Operator: (Operator Instructions) Welcome to the Suburban Propane Fourth Quarter 2009 Financial Results. This conference call contains forward looking statements within the meaning of section 21-E of the Securities and Exchange Act of 1934, as amended relating to the partnerships future business expectations and predictions and financial conditions and results of operations. These forward looking statements involve certain risks and uncertainties. The partnership has listed some of the important factors that could cause actual results to differ materially from those discussed in such forward looking statements, which are referred to as cautionary statements in its earnings press release which can be viewed on the company’s website. All subsequent written and oral forward looking statements attributable to the partnership or persons acting on its behalf are expressly qualified in their entirety by such cautionary statements. I would now like to turn the conference over to our host Mike Stivala.
Mike Stivala: Welcome to Suburban’s fourth quarter fiscal 2009 full year results conference call. I’m Michael Stivala, Chief Financial Office at Suburban. With me this morning is Mike Dunn, our President and Chief Executive Officer. The purpose of today’s call is to review our fourth quarter and fiscal 2009 full year results along with the current outlook for the business. As usual once we conclud our prepared remarks, we will open the session to questions. However, before getting started I’d like to reemphasize what the operator has just explained about forward looking statements. Additional information about factors that could cause actual results to differ materially from those discussed in forward looking statements is contained in the partnerships SEC filings, including our form 10-K for the fiscal year ended September 27, 2008 and our form 10-K for the fiscal year ended September 26, 2009 which we will file on or about November 25, 2009. Copies of these filings may be obtained by contacting the partnership or the SEC. Certain non-GAAP measures will be discussed on this call. We have provided a description of those measures as well as the discussion of why we believe this information to be useful in our form 8-K, which was furnished to the SEC this morning. The 8-K can be accessed through a link on our website at www.suburbanpropane.com. At this point I’d like to get started by turning the call over to Mike Dunn.
Mike Dunn: Despite the obvious challenges brought on by the economy and a tight credit market fiscal 2009 proved to be a good year for Suburban. We made changes our focus on driving efficiencies, prudent margin management, enhancing our customer and further strengthening our balance sheet. To recap some of our significant achievements during fiscal 2009. We reduced our total debt by $185 million from a combination of cash on hand and the net proceeds of approximately $95.9 million from the successful offering of 2.4 million common units. This reduction in debt brought our ratio to debt to adjusted EBITDA to 1.5 times to end fiscal 2009. Additionally, we refinanced our revolving credit agreement to a new four year facility nine months prior to the maturity of our previous agreement. Our partnership credit rating was upgraded by both Moody’s and S&P and we increased the annualized distribution rate by $0.10 per common unit or 3.1% compared to the end of fiscal 2008. In addition to these important accomplishments we delivered adjusted EBITDA of $239.2 million in fiscal 2009 an increase of $62.4 million or 35% compared to the prior year after adjusting for certain significant non-cash items in both years which I will let Mike explain in a bit more detail. While we are very proud of our achievements and believe we are well positioned for the future we expect the weak economy to continue to present challenges as we head into fiscal 2010. A little later I will comment further on our thoughts for the coming year, however, at this point I’ll turn the call over to Mike Stivala.
Mike Stivala: As Mike indicated, during fiscal 2009 we took proactive steps to further strengthen our balance sheet and posture the business for growth. In particular, we reduced our overall leverage profile to be one of the lowest in the MLP space and to improve our overall distributable cash flow. In fact, with the debt tender offer completed in September 2009 we reduced our interest expense requirement heading into fiscal 2010 by $12 million. At the same time we remained focused operationally, delivering a 35% increase in adjusted EBITDA and improving our operating cash flow by $126 million compared to the prior year. Looking at our full year results, to be consistent with previous reporting I am excluding the impact of the $1.7 million unrealized non-cash gain applicable to FAS 133 accounting compared to an unrealized gain of $1.8 million in fiscal 2008. EBITDA for our full fiscal year totaled $234.6 million compared to $220.5 million for fiscal 2008 an increase of $14.1 million or 6.4%. Net income totaled $163.5 million or $4.94 per common unit for fiscal 2009 compared to net income of $153.1 million or $4.67 per common unit in the prior year. Fiscal 2009 results included a loss on debt extinguishment of $4.6 million associated with the debt tender offer completed in September 2009, whereas the fiscal 2008 results included a gain of $43.7 million from the sale of our Tirzah, South Carolina propane storage cavern. Therefore, excluding the effects of these two significant items from both years, adjusted EBITDA of $239.2 million for fiscal 2009 increased $62.4 million or 35% compared to adjusted EBITDA of $176.8 million in the prior year. Retail propane gallons sold in fiscal 2009 decreased 42.3 million gallons or 10.9% to 343.9 million gallons from 386.2 million in the prior year. Sales of fuel oil and other refined fuels decreased 19.1 million gallons or 25% to 57.4 million gallons compared to 76.5 million in the prior year. While average heating degree days in our areas of operations were close to normal levels for the fiscal 2009 heating season and 5% colder then the prior year, volumes in both segments were negatively impacted by the economy and conservation. The current environment has had a marked effect on our commercial and industrial volumes and to a lesser extent our residential volumes. To put that into perspective, within our propane segment our non-residential customer base accounted for more then 63% of the volume decline compared to the prior year. In the commodities markets, average posted prices for both propane and fuel oil dropped precipitously during the first five months of fiscal 2009 from the all time highs reached during the summer of 2008. Commodity prices remain relatively flat throughout our third fiscal quarter and began to rise again throughout the fourth quarter fiscal 2009, thus creating a potential volatile price environment for fiscal 2010. For the year, average posted prices for propane and fuel oil decreased 51.7% and 46.1% respectively compared to the prior year. Spot propane was trading around $0.93 per gallon basis Mount Bellevue at the end of September 2009 compared to $1.52 per gallon at the end of fiscal 2008. Today spot propane is trading around $1.08 basis Mount Bellevue and spot heating oil is trading at about $2.05. Total gross margins of $601.1 million for fiscal 2009 were $68.1 million or 12.8% higher then the prior year of $533 million. The increase resulted primarily from higher unit margins as well as higher margins from risk management activities, particularly during the first half of fiscal 2009 where we experienced dramatic declines in commodity prices. The increased margins were offset to an extent by the impact of the lower volumes. In addition, contributing to the increase in gross margin was the absence of $10.8 million of realized losses from risk management activities which were reported in fiscal 2008, the result of our decision to unwind our hedged position given the unprecedented risk in commodity prices. Combined operating and G&A expenses of $361.8 million were $5.6 million or 1.6% higher then the prior year of $356.2 million, primarily due to higher variable compensation associated with the higher earnings in fiscal 2009. Variable compensation aside we continue to experience savings and payroll benefit related expenses as well as lower vehicle expenditures from a combination of a lower vehicle count and lower diesel costs as we continue to focus on operating efficiencies. Additionally, despite the challenges of the economy, our bad debt expense was $4.3 million lower compared to the prior year as we remained diligent in managing our receivables. Unfortunately however, this does tend to negatively impact our volumes. Capital spending for the year totaled $21.8 million which included $12.2 million of maintenance capital. Turning to our balance sheet, as Mike described in his opening remarks, we took several steps to further strengthen our balance sheet during a very difficult credit market. With our strong operating results and corresponding cash flow, as has been the case since April 2006, we continued to fund all working capital needs from internally generated cash. Despite the use of nearly $90 million of cash to fund a portion of the debt reduction in fiscal 2009, we ended the year with $163.2 million of cash on hand. That’s an increase of $25.5 million or 18.5% compared to the cash balance at the end of fiscal 2008. As we look forward to fiscal 2010 we believe we have adequate liquidity to fund ongoing operations, without the need to access our bank revolver. With the steps taken in fiscal 2009 we’ve extended the maturities on all $350 million of our outstanding debt until 2013. Looking specifically at our fourth quarter results, given the seasonal nature of our business, we typically report losses for our fiscal fourth quarter. As I discussed the results for the quarter I am excluding the impact of a $2.5 million unrealized non-cash gain from our current quarter results applicable to FAS 133 accounting compared to a $2.1 million unrealized gain in the prior year quarter. We reported a net loss of $25.4 million or $0.75 per common unit for the fourth quarter of fiscal 2009 compared to a net loss of $13.4 million or $0.41 per common unit in the prior year quarter. Adjusted EBITDA for the quarter excluding the $4.6 million loss on debt extinguishment that I mentioned earlier was a loss of $2.7 million compared to income of $3.3 million in the prior year quarter. The prior year quarter benefited by approximately $3.7 million from increased margins resulting from the partial recovery of realized losses reported in the fiscal 2008 third quarter on short heating oil futures. With the highest concentration of non-residential business typically reported during our fiscal fourth quarter, lower volumes in both propane and fuel oil, particularly in the commercial and industrial sectors was also a significant contributor to the decline in EBITDA quarter over quarter. Retail propane gallons sold in the fourth quarter fiscal 2009 decreased 7.5 million gallons or 13.3% to 49.1 million gallons from 56.6 million gallons in the prior year quarter. Sales of fuel oil and other refined fuels decreased 2 million gallons or 22.5% to 6.9 million gallons compared to 8.9 million gallons in the prior year quarter.
Mike Dunn: As announced in our October 22nd press release we are extremely pleased to declare our 14th consecutive increase in our quarterly distribution which now equates to an annualized rate of $3.32 per common unit which was paid on November 10th to our unit holders of record as of November 3rd. Looking ahead to fiscal 2010, the uncertain economic outlook as it relates to our customer base coupled with the unpredictable behavior of our competition throughout our operating territories is expected to put pressure on margins and possibly volumes, particularly when compared to fiscal 2009. However, we are confident that our solid financial position, flexible cost structure, experienced operating team, and strong coverage ratios will enable us to successfully deal with what is likely to be a challenging business environment in fiscal 2010. That being said, we remain optimistic that opportunities will become available as others struggle through these challenges and we believe that given our financial strength we will be at an advantageous position to capitalized on any such opportunities that may arise. Lastly, I would like to thank the more then 3,000 employees at Suburban for their efforts in making fiscal 2009 a success and for their continued focus through these difficult economic times. As always, we are appreciate your support and attention this morning and would like to open the call up for questions.
Operator: (Operator Instructions) Your first question comes from Darren Horowitz – Raymond James
Darren Horowitz – Raymond James: From a retail volume standpoint you talked about the uncertain economic outlook and certainly we’ve seen an upward bias to commodity prices. When you put all those pieces together and you’re starting to get your arms around what you think the impact from a residential standpoint is going to be in terms of consumption, can you give an early snapshot of where you think aggregate volumes could approximate year over year? We heard from one of your competitors last night that they thought organically they could grow 1% to 2%. Does that sound fair based on what you see today?
Mike Dunn: No, I think anybody that thinks that they can organically grow their volume to that extreme in this economy is probably going to sacrifice margins to do that. I don’t know which is better or worse. From a residential perspective, we’re basically forecasting flat to a slight decline in volumes. Its the commercial and industrial piece that’s a little bit of a wildcard at this stage.
Darren Horowitz – Raymond James: Do you think, in order of magnitude that we could see something similar to what we saw in fiscal ’09?
Mike Dunn: We hope not. We’re looking at a decline significantly lower then what we experienced this year.
Darren Horowitz – Raymond James: Moving over to the acquisition landscape, we’ve also heard through the channel that maybe over the past couple months things may have improved a little bit in terms of the bid-ask spread. Can you give us some color there and what you’re hearing?
Mike Dunn: I think a lot of people are still basing their values on last year’s numbers which quite frankly we’re not sure is sustainable. Obviously the bid-ask is possibly a little bit wider then it should be. There are values in people’s minds that quite frankly when you get down through to the cash flow they’re a little distorted.
Darren Horowitz – Raymond James: When you’re looking at total CapEx for fiscal 2010 do you think its still going to be in the range of about $20 to $23 million with a similar split between maintenance and growth?
Mike Stivala: Yes, that’s our typical run rate.
Operator: Your next question comes from John Tysseland - Salomon Smith Barney
John Tysseland - Salomon Smith Barney: You touched on the volume side, on the margin side that’s really where you saw a big jump last year, probably industry wide with commodity prices going down and you being able to get your costs down and the price to the consumer not down quite as much. Do you expect margins to be able to hold on this year with the up tick in commodity price or is that what you’re alluding to with last year’s number might be a little unsustainable?
Mike Dunn: I think last year’s numbers will be a little sustainable. I don’t think you’re going to get the opportunity to go into the winter season in a steeply declining market as you did last year. If you’re moving into a rising market you’ll always lag behind and before you know you’ll come out of it. The opportunity to replicate last year’s margin profile I think is going to be difficult.
John Tysseland - Salomon Smith Barney: To what magnitude do you think that’s going to be the case? When you look at propane prices, is there any kind of timeline that we could point to where margins were similarly compressed after a good year or is it just going to be maybe down slightly from last?
Mike Dunn: I think if you look at the second half of last year you’ll see a more realistic margin profile then you would the first half of the year, if that’s helpful.
John Tysseland - Salomon Smith Barney: On the Mom & Pop’s and the smaller companies are their financings, their relationships with the banks, I know that you obviously have plenty of liquidity where you are. Any kind of things that you’re hearing from the industry in terms of their ability to access capital in the smaller side?
Mike Dunn: I don’t think its as tight as it was at the beginning of last fiscal year. However, its still somewhat snug with respect to the smaller operators. I don’t think, at least at this stage, again not to overdo the expression of a wildcard but I think the Mom & Pop’s for the first time are really dealing with volume decline that they don’t really have an answer for. In a lot of cases the Mom & Pop’s are unwilling to give customers payment terms so you’re seeing a little bit more COD type activity then you’ve seen in the past as well which is an indication that financing capabilities are tight.
Operator: Your next question comes from Yves Siegel – Credit Suisse
Yves Siegel – Credit Suisse: You used a word “unpredictable” and I’m curious what you were really thinking when you used unpredictable to refer to competition, again looking at potential margin.
Mike Dunn: I unfortunately still believe that the industry is more volume driven then they are bottom line driven. However, I think that that’s altered some over the course of the last couple of years. When I say unpredictable I mean we see things in the marketplace that quite frankly are losing money at the opportunity to just say their volumes were either flat or growing, particularly on the industrial/commercial side.
Yves Siegel – Credit Suisse: Is that mostly the Mom & Pop’s or is that larger competitors as well?
Mike Dunn: Its both. What people tend to do is ignore the cost of capital. That’s not anything new.
Yves Siegel – Credit Suisse: If there’s good news I would assume that the commercial and industrial load is probably lower margin for you so the mix probably gets a little bit more favorable.
Mike Dunn: Correct.
Mike Stivala: That’s true. I think over the past couple years, in fact, our mix has steadily shifted to a higher concentration of residential customer base and contribution to both volume and margins and we expect that trend to continue.
Yves Siegel – Credit Suisse: Going into 2010, given the outlook that you have, any sense that you may do something a little bit different from recent history? Has your strategy changed going into 2010 at all?
Mike Dunn: No. Our strategy is still the same. We look to continue to seek out opportunities to make good use of the investment we’ve put in our business. We continue to drive customer service. We continue to take advantage of the systems infrastructure that we have in place. Quite frankly we would love to see some sellers that are real so that we can possibly put our balance sheet to work.
Yves Siegel – Credit Suisse: When you think about acquisitions is it primarily propane or are you also looking outside propane?
Mike Dunn: If the hidden question is are we looking at heating oil, the answer is no. We would ideally like to do propane acquisitions because we believe that that’s a platform that we can add value based on the experience we had here. At this stage I couldn’t tell you if there was another MLP qualifiable type income stream that we would have an attraction to at this stage. However, a fee based midstream type storage business certainly wouldn’t be out of question.
Operator: There are no further questions at this time. Please go ahead.
Mike Stivala: Thank you everybody for your support and your attention this morning. We look forward to talking again in February.
Operator: That does conclude our conference for today. Thank you for your participation and for using AT&T Executive Teleconference Services.